Operator: Good day. Thank you for standing by. Welcome to Materialise Fourth Quarter of 2021 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] And now I would like to turn the conference over to Ms. Harriet. Harriet Fried, you may go ahead, ma'am.
Harriet Fried: Thank you for joining us today for Materialise's quarterly conference call. With us on the call are Fried Vancraen, Founder and Chief Executive Officer of Materialise. Peter Leys, Executive Chairman, and Johan Albrecht, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation, that reviews Materialise's strategic, financial, and operational performance for the fourth quarter of 2021. To access the slides, if you haven't already done so, please go to the Investor Relations section of the company's website at www. materialise.com.  For earnings release that was issued earlier today can also be found on that page. Before we get started, I'd like to remind you that management may make forward-looking statements regarding the Company's plans, expectations, and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks, that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the Company's future results and activities, represent management's estimates as of today, and should not be relied upon as representing their estimates as of any subsequent date.  Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the Company's future business or financial results can be found in the Company's most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today's call. A reconciliation table is contained in the earnings release and at the end of the slide presentation. With that introduction, I'd like to turn the call over to Peter Leys. Go ahead, please, Peter.
Peter Leys: Thank you, Harriet. And good morning, and good afternoon, everybody. Before turning to Slide 4, which summarizes the highlights of our Q4 and 2021 full year financial results, I would like to emphasize that our folks and actions today are focused on the safety and well-being of our Ukrainian collaborators. Their lives and security are of utmost importance to us. Fried will address the actions we are taking to assist them during his remarks. Now, turning to our 2021 results. Some of you may remember in the third quarter of 2021, Materialise boasted all-time quarterly records both in terms of revenues and in terms of EBITDA. Today, we can announce that none of the Q3 of records are still on the books for the simple reason that they have been surpassed by the all-time higher revenues and adjusted EBITDA that we posted in the fourth quarter. Driven by a very robust revenue growth in each of our segments, our consolidated Q4 revenues increased by more than 25% to a quarterly all time high of close to €57 million. Our adjusted EBITDA for the quarter was €10.5 million, representing a margin of 18.4%. And our net profit for the quarter was almost €4.8 million. In particular, our software and medical segments realized very strong EBITDA margins in the fourth quarter, software, more than 45%, and medical, more than 30%. For completeness’s sake, I should add that also for the full-year 2021, our revenue adjusted EBITDA and net profits are all-time records. Johan will fill you in on those numbers later. These results show that our strategy of continuing to invest throughout the COVID-19 pandemic in our people in general, and in the research and development in particular, was the right choice. And is already paying off in the short-term. I would like to now pass the floor to Fried, who will walk you through some of the key operational achievements of Materialise in 2021. Fried.
Fried Vancraen: Good morning and good afternoon, everyone. Before turning to our operational achievements in 2021, I want to reiterate what Peter just said with respect to Ukraine. I am, together with other members of our executive committee, in daily contact with the leadership of our Ukrainian office. And we are trying to help our team members there as much as we can through a variety of different avenues. The assistance we offer includes providing alternative housing and office space both within and outside of Ukraine. In spite of the hostilities they are facing, many of our collaborators continue to contribute to the project they are working on by making maximum use of the flexible working conditions we installed during the Corona crisis. Simultaneously, many of our people around the globe are adjusting their activities and priorities and stepping in to assist wherever they can. We want to express deep admiration and respect for the courage, dedication, and professionalism that the collaborators in Ukraine have shown in circumstances where their safety and the safety of their beloved ones is constantly at stake. In 2021, a year that was still dominated by COVID restrictions and impacted by supply chain issues, I'm very proud on the collective performance of all Materialise employees. As peak has already outlined, we delivered a good performance both in terms of revenue and profitability, and this is for the second quarter in a row. In a world with many restrictions and timed budgets, we grew our top and bottom compared to not only to 2020, but also to 2019, while also reducing our carbon footprint drastically in all our segments. Our global operations performed well in the new digital and work from home context. Our production lines, where all shown to provide safe and effective work environments, for our workforce during the different base of COVID infections. Most importantly, we did all this while maintaining our R&D spending in order to secure our future. Most of the new products that will ensure the company's future growth, would not be possible without the sustained research and development efforts. Overall, we believe our consistent performance during the crisis period has strengthened our position in the markets we serve and has demonstrated to our customers and partners that Materialise is a sustainable company, one they can rely on for their long-term future. Let's look at some of the specific achievements at the level of our three segments. Our medical software for engineering on anatomy, the Mimics Innovation Suite, realized revenues of almost €23 million in 2021. That proves that the Mimics Innovation Suite is the for many engineers that want to develop or produce medical devices based on medical image data. The growth was driven by new models that aid and make use of artificial intelligence, or that enable users to link with their own artificial intelligence developments. Similarly, the Mimics Innovation Suite has also become an engine to explore and develop new augmented reality and virtual reality applications in the medical field. This has led to growth in both the medical device company and the hospital markets, where we will be able to help support the medical treatments over the future. Our Medical Device activity had very strong growth, especially in cranio-maxillofacial surgery and in an extremely volatile environment. With hospitals making certain shifts in prioritization due to COVID, our design and production team succeeded in providing constant service. In addition, in the middle of the challenging COVID related circumstances, we were one of the first companies to bring our mass customization of medical guides and implants fully in line with the new European Medical Device Directive. This significantly increases the hurdles for new medical product introductions in the European market. On top of that, we managed to create several CMF products in our subsidiary engine brand for the European market. Finally, engine plant itself became a 100% daughter company of Materialise, fully focused on CMF and osteosynthesis as we've been out to finalize other business to former owners. Increased focus, and stronger offering should enable us to capture additional market share, both in Brazil and in Europe. Our manufacturing is back on track with the highest growth numbers of all our segments. Despite the production limitations in the civil aerospace on which we focused; we are seeing healthy growth thanks to the promising segment of eVTOL as explained during our Q3 call. But the key driver and the recovery in the segment of business systems where we focus a lot on healthcare equipment. There, we have been seeing a structure of increasing use of additive manufacturing for small production series. Thanks to our wide offering with engineering support and multiple AM technologies, Materialise is well placed to support the companies in those markets for which we expect healthy growth and development in the near future. Finally, also important to the manufacturing segment's growth is the considerable growth in the Eyewear and Motion business. For Motion, we integrated at a scan and at sprint into Materialise motion, as did the preparatory work to launch new product clients during 2022. Our software segment has launched a series of very impactful innovation initiatives from a strong base. The strong basis Magics, which consistently grew its user community during 2021. Even after being on the market for 30 years, magics was chosen by the readers of 3D print.com as the am Software of 2021. And we are confident that the R&D initiatives we executed in 2021, are going to make it even stronger. We relaunched metrics 26 in '22, with a fully integrated, but our solid GSK Kernel from Siemens. This will enable it to integrate even better with design and post-processing work looks. The new metrics will also be compatible with the Zinc 3D CEMEA system, and finish no embed of testing. The beds of tests for process journal and workflow automation are also are running successfully. And as we speak, the beds of testing of storefronts are being launched. In short, after the serious development efforts of 2021, 2022 will be the year when multiple releases of new products fitting in our broader cloud strategy will take place. During our next earnings call, with the official releases at AMR and Rapid, I will provide further details on our cloud strategy.
Johan Albrecht: Thank you, Chris. I'll begin with a brief review of our consolidated revenue on Slide 6 now. As a reminder, when we refer to sales in our presentation, we mean revenues plus deferred revenues. Also, please note that unless otherwise stated, all competitors in this call are against our results for the fourth quarter of 2020, and full year 2020. For the quarter revenue increased 25.8% million to €57 million. The growth took place in all three segments. Our software segment grew by 19%, Materialise Medical increased 20%, and revenue in manufacturing rose by 35%.  For the quarter, Materialise Software accounted for 22% of our total revenue, Materialise Medical for 36% and Materialise Manufacturing for 42%. For the full year, revenue grew €35 million or 20.5% to €205.5 million, €4 million increase of our deferred revenue from software license and maintenance fees compared to 20 -- to December 2020. And that underscores the strong license sales performance of our software and medical segments. Cross-segment revenue from software products represented 32% of our total revenue, for both the quarter and the full year. Moving to Slide 7, you will see our consolidated adjusted EBITDA numbers for the fourth quarter. Consolidated adjusted EBITDA increased €3.1 million to €10.49 million compared to Q4 last year and in new quarterly records. Our EBITDA margin grew to 18.4%, two percentage points above last year's 16.3%. Full-year EBITDA grew 50 basis points from 20.4 million in 2020 to €32.5 million in 2021. EBITDA margin for the full year reached 15.8% compared to 12% last year. This increase was the result of a variety of positive factors. Our strong revenue growth and improved gross margin, treated by increased insourcing and continuous productivity improvements and disciplined spending. In particular, with respect to overheads. Importantly, our EBITDA increased did not come at the expense of our R&D spending. In addition, the initiatives we previously described to enhance our internal business application platform continued and are on-track. Slide 8 summarizes the results of us materialise software segment. Software revenue increased 19.3% to €12.2 million. While recurring revenue was plus non-recurring revenue grew 33.6% driven by new perpetual license fees. EBITDA increased 43% to €5,000,518. The adjusted EBITDA margin grew to 45% as a result of the solid revenue growth and our operating expenses capital under control even as our digital transformation project continued. Moving now to Slide 9, you will see the total revenue, Materialise Medical segment increased 20.3%. And for the first time, broke €20 million barrier. Revenue from medical software, sales grew 25%, while revenue from medical devices and services increased 18% compared to last year. Revenue from medical software sales, account to 12, 31% of the segment revenue.  Adjusted EBITDA grew 31% to €6,358,000 compared to €4.8 million. The segment's adjusted EBITDA margin was 30.7% compared to 28.2% last year. So let's turn to Slide 10 for an overview of the Q4 performance of our Materialise Manufacturing segment. Revenue increased 34.9% to €24.1 million. Importantly, revenue was approximately €5 million higher than in the first quarter of 2021 when we first noted the positive signs from industrial goods and all the business lines. Adjusted EBITDA for the quarter was €1.2 million. EBITDA margin was only 5% negatively impacted by temporary higher production variables in our additive manufacturing business lines. Full year adjusted EBITDA increased €3.9 million to €6.4 million while EBITDA margin increased to 7.2% from 3.7% as a result of the revenue growth, optimized capacity usage, and improved production efficiencies. Slide 11 provides the highlights of our income statement for the fourth quarter and the full year 2021. For the quarter, revenue increased €11.7 million or 25.8%, and gross profit increased €7 million or 26.9%. Gross profit was positively impacted by efficiency cadence, and the growing software and service portion in our revenue sales mix. As a result, gross profit margin increased 0.5% percentage points to 58.3%. For the full year, this margin even increased 1.9 percentage points. Operating expenses increased 5.9% compared to last year's quarter. Our sales and marketing spending increased 22.7% as sales and marketing projects were refined. G&A expenditures increased 11.3%, an increase due to the rollout of the ongoing internal digital transformation project that we discussed in our previous earnings calls. In line with our strategy, research and development expenses increased 12.2% compared to Q4, if we exclude last year's €2.1 million impairment cost of our tracheal splint program. This quarter, net operating income was €1.26 million. As a result of these elements, the group's operating profit amounted to €4.976 million compared to a loss of almost €2 million in last year's period. For the full year, operating profit rose to €12.217 million from a loss of €4.639 million. Net financial income was €275,000 compared to a loss of €596,000 last year. Income tax expense amounted to €490,000 compared to a Q4 2020 positive tax income of €531,000. Net profit for the fourth quarter was €4.762 million compared to a net loss of £2,039,000 for the 2020 period. For the full year, the profit rose to €13,145,000 resulting in £23 sell per share from a net loss of £7.2 million or minus €13 cents per share.  Now please turn to Slide 12 for a recap of balance sheet and cash flow highlights. This fourth quarter, our balance sheet remains strong. Cash flow -- cash amounted to €196 million compared to €111.5 million at December 31st, 2020. But over the same period, our borrowings decreased by €16 million to €99.1 million. Only €21.3 million of our debt is short-term at December 31st. Equity increased €99.4 million to €232.6 million as a combined result of the year-to-date net profits amounting to €13.1 million in growth from the June and July follow-on capital increase of €85.8 million. The exercise of stock options for €2.4 million, the impairments over financial assets in a span of €3.4 million over the year '21 and positive conversion differences of €1 million mainly from the strong which is found in U.S. dollar against Euro. Total deferred revenue increased to €38.3 million compared to €34.9 million, as of December 31st, 2020. Over 38.3 million, 34.3 were related to annual software sales and maintenance contracts versus 30.2 million, as of December 31st, 2020.  Cash flow from operating activities for the full year amounted to €25.8 million compared to 30 million last year. The increased operating result was partly offset by unfavorable working capital requirements, as a result of the strong activity growth. Capital expenditures for the quarter amounted to €4.5 million and to €11.7 million for the year, and they we're not financed. Our financial reports are excluding Link3D, of which we acquired 100% of the shares through January 4, 2022. As reference in 2021, Link3D realized revenue of approximately $2.3 million, and the negative EBITDA of approximately $4.6 million. Peter?
Peter Leys: Thank you, Johan. If you could kindly turn to Slide 13. Encouraged by our very strong results in the second half of 2021, we believe our more mature business lines in particular, our Magics software suite, our Mimics Innovation Suite, and our personalized medical device business lines, all have the potential of continuing to scale solidly with a healthy margin, and we plan to support these businesses accordingly in 2022. Simultaneously, we have the ambition to significantly increase our spending in 2022, especially in R&D, and sales and marketing, with a view to accelerating the development of our new growth businesses, which includes our software cloud platform, including a newly acquired in Link3D solutions, and our medical and wearable verticals. We believe that the combined growth of our more mature and our newer business lines, including in Link 3D, will generate the consolidated revenue growth in 2022 of at least 10% compared to the previous year.  As we will be allocating significant portions of the expanding EBITDA margins of some of our more mature business lines towards increased investments in our newer growth businesses in particular building 3D product portfolio, we expect our consolidated adjusted EBITDA to decrease by approximately 10% compared to last year. This outlook for 2022 does not take into account the very recent events in Ukraine. As a reminder, we have no meaningful sales in Ukraine or in Russia. Our 430 collaborators in Ukraine are mainly active in engineering, software development, and supporting IT and staff functions. As Fried explained earlier, we believe that the impact of the war in Ukraine for our customers and for the continuity of our business will be minimal because many of our people in Ukraine continue to work whenever they can and Materialise colleagues with similar skills and competencies elsewhere in the world are stepping in to assist them whenever that is needed. Nevertheless, the recent onset of hostilities in Ukraine does add a level of complexity to our outlook for 2022 as we currently cannot assess how long they will last or how the global economy will react to the sanctions that are being imposed upon Russia. We hope to have more visibility on these events, which are very disturbing to all of us, and their potential short-term impact on our business when we release our first quarter results. And on this note, I would now like to open the floor for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Troy Jensen from Lake Street Capital. Your line is open.
Troy Jensen: Hey, gentlemen. Congrats on the great fourth quarter.
Peter Leys: Thank you, Troy.
Troy Jensen: Hey, Peter, I just want to start off with software. I guess I was happy to see that up nicely, it had been stuck in a bit about a $10 million quarterly level. It sounds like Mimics grew faster. I think it -- I think I read in the press -- earlier in the slide, there was 25% growth, but the segment was up 19%. But I guess I just want to confirm that Magics and Streamics is still growing kind of high teens; is that correct?
Fried Vancraen: Well, equity, the Magics growth is not high teens but close to 10%. The Streamics is actually being replaced by Link3D in the future. But we see a healthy growth in the sales. And we expect that the new cloud platform will really become a good old driver in the future.
Troy Jensen: Great. I sure hope so. How about just specifically to Q1 in the health care segment, I think of you guys is fairly exposed to elective surgeries. And obviously with COVID spiking back in January, February, just the thought that Q1 maybe seasonally weaker than we've historically seen?
Peter Leys: Troy, we had that experience of elective surgeries being postponed for COVID related treatments earlier. But frankly, the impact as our number of shows of COVID on businesses, on surgeries that we support being again, picked up is minimal.
Troy Jensen: Good. All right. Okay. I was fearing Omicron spike might really slow that down. About that appear to Fried medical point-of-care, I hear more point-of-care applications for medical. Is that something that you guys favor or are you guys prefer more centralized? I guess to me, it's good for Mimics sales, but just thoughts on the importance and stuff like that.
Fried Vancraen: Well, we have a balanced view. We favor point-of-care solutions, especially with respect to vitalization models, and 3D planning models, and the like. We do believe that on the other side, on the implant side, a more centralized approach is the only feasible one if you want to comply with all regulatory requirements, and we have proven that we can elaborate high-volume, patient-specific solutions of implants with a quality level that is similar to standardized implants. And I think this is very difficult if you do this is in a very distributed way of working.
Troy Jensen: Great. Pretty good answer. That's okay. About last question from me in manufacturing has been a great segment here recently. Could you just call it again? I thought I heard you say maybe European auto was weak. But what was strong in the quarter for you guys in the manufacturing you said?
Fried Vancraen: Well, we see in the segment of what we call industrial and healthcare equipment, a strong use of 3D printing and we believe this is a quite structural change that was a small series of complex pieces of equipment, 3D printing, more and more comes to this. This is what we believe one of the areas where -- Yeah. I don't think manufacturing has a serious growth potential in a sustainable way.
Troy Jensen: Great. At some point you said more import production application is driving the business in. Am I correct?
Fried Vancraen: Yes.
Troy Jensen: Awesome. All right, guys. Keep up the good work.
Fried Vancraen: Thank you, Troy.
Peter Leys: Thank you.
Operator: Your next question is from Jason Celino from KeyBanc Capital Markets. Your line is open.
Devin Au: Hi, thank you. This is actually Devin Au for Jason. First question I have, is around the 2022 guidance. I know that there's a lot of near-term geopolitical uncertainty. But in terms of other macro factors, like supply chain disruptions that you and the customers. Particularly within auto and for the aerospace. I've been working during the past couple years. What is your expectation of macro challenge to trend in 2022? Do you expect some improvement? Any color you could put about on that?
Peter Leys: As Fried explained earlier, the strong growth in manufacturing has been realized to some extent, by as being able to focus on other sectors than just the automotive term. The business systems in general and then the healthcare applications in particular, is something that we have focused on and that has helped us in restoring the growth. And that shifts to some extent, allows us to really show strong growth now. If automotive fixed up in the course of 2022, we've been saying this for a couple of years now, that if it does speak up, that should only further foster strong performance of our manufacturing in 2022. Let's wait and see.
Devin Au: Got it. That's helpful. And then maybe one more on gross margin. It's a nice step up to 57% in 2021. Any color you can provide on how we should think about that margin in 2022, on our manufacturing rebounded nicely in 2021. Should we continue to expect the kind of a gradual step up in margin, as that manufacture -- as that segment grows and benefit from leverage?
Johan Albrecht: We expect quite a gradual improvement of the margins in manufacturing. We have a temporary lesser margin in the fourth quarter, which we counted in the next quarter, that will improve again gradually.
Devin Au: Got it. Thanks guys and congrats on the good results.
Fried Vancraen: Thank you.
Peter Leys: Thank you.
Operator: We have a question from Noelle Dilts from Stifel. Your line is open.
Noelle Dilts: Hi. Good morning. Congrats on a strong quarter. I really only had one major question which is, I think the investments that you're talking about making in R&D and sales and marketing make a lot of sense for 2022. But I was hoping you could discuss how we should think about the returns on those investments. Are you expecting to maintain higher levels of investment going into 2023 and 2024? How should we just think about this from a longer-term business model perspective? Thanks.
Peter Leys: Noelle, just for 2022, to begin with, I think you can expect an uptick of those investments more in the second half than in the first half of the year, as we are ramping up recruitment of the developers that we are currently looking for. These investments will not stop in 2023. We do expect that sales, and then in particular, of the Link3D and more in general, the Magics cloud platform, we expect those to actually start showing up in our P&L more in 2023 than in 2022. So, 2022 will really be a year where it will be significant investments with not that much additional revenue coming from these investments. Hitting our P&L significantly as of 2023 and more importantly the years thereafter, we expect that our investments in the Link3D platform will actually show the recurring revenue that we are aiming for.
Noelle Dilts: Okay, thank you.
Operator: [Operator Instructions] Next question is from Gregory Ramirez, from Bryan Garnier. Your line is open.
Gregory Ramirez: Hi, good afternoon. And thank you for taking my questions and just a few on my side. First of all, on the software division in Q4, how do we have to interpret the search in software revenues, not only under Materialise product sides, Magics, etc. But let me say, as it is, it looks to be driven by new licenses. Is it related to specific orders on the side of 3D printing manufacturers? Do we have to consider it as a one-off because it was the end of the years? And maybe the 3D printer contained manufacturers had some orders? Or is it some upgrades on existing machines? I have another question regarding the structure of the growth which is expected for 2020 to 10% plus. So you mentioned that software and medical, reporting it to generate solid trends. What I would say, the specific situation of manufacturing units relates -- what I'm trying to say is, that it seems all PEEP related to the situation in the automotive sector. That -- is there any specific reason which can make us believe that the growth would be significantly lower in the manufacturing division in 2022. My third and the last question is regarding the adjusted EBITDA guidance for '22. What do we have to expect from the potentially negative contribution to EBITDA from Link3D, because it looks to be that most of the decline, the EBITDA declined in 22 is specifically explain by the Link3D acquisition?
Peter Leys: Thank you, Gregory. Many questions, I hope we took good note. If not, please interrupt us. In short your first question on the software growth closed to 20% in Q4. Q4 is always a strong quarter for software sales as you know. So that is definitely -- the 20% growth that we posted in the last quarter is definitely to some extent linked to the fact that the quarter that we're reporting on is Q4 is the last quarter of the year. Your second question relating to the growth that we expect in manufacturing.
Gregory Ramirez: Yes.
Fried Vancraen: Well, I mean, manufacturing posted spectacular 35% plus growth this quarter. It's basically a significant growth because of the comparison with a previous quarter has a significantly weak because of the COVID-19 crisis. So we're basically filling our capacity again and we will continue to fill our capacity in 2022. Once we get to that level the focus will be on making the right choices and making sure we feel our capacity with products that generate the best possible margin, and there we believe that some of the healthcare applications that I alluded to earlier should help us in improving the margin of manufacturing. Basically rebound is what manufacturing is currently doing. That being said, as part of our manufacturing segments, we are reporting also wearables businesses, our wear and our lotion business, and they will -- we believe they, will contribute to some of the continued growth that we will intend to continue to report in 2022.
Peter Leys: Your last question related to the EBITDA profile for 2022 and the role that Link3D will play there, the short answer to your question is, yes, the bulk of the negative investments contributing negatively to our EBITDA in 2022 now will be linked to the development of our software Cloud platform. And that obviously includes continued investments also in the product portfolio that we acquired from Link3D.
Gregory Ramirez: Thank you. And just to come back on the first quarter in question. So do you confirm there is I would say no specific one-off being there almost 20% growth in software in Q4?
Harriet Fried: There is no specific one-off. It's well distributed. But again, here we also have a better, as Peter mentioned for manufacturing, that reference year of 2020 was of course a weak year.
Gregory Ramirez: Thank you very much.
Peter Leys: Normal good Q4 compared -- which is adequately Q4 is good compared to a not-so-good Q4 the year before.
Gregory Ramirez: Thank you very much.
Peter Leys: Thank you, Gregory.
Fried Vancraen: Thank you.
Operator: And our last question is from Bhavna Advani with JPMorgan. Your line is open.
Bhavna Advani: Hi, this is Bhavna for Paul Chung from JPMorgan. I have a little more question. So on the EBITDA margin, just going back, can you talk a little bit about where you see that going in '23? Do you see some of the return on investment on top line and how can you look at the margin outlook?
Peter Leys: We tried to guide for the year. So guide for 2022, we not really guiding for 2023. But as I said earlier on, while 2022 will be hit significantly with lots of investments and not that much additional revenue, we expect still in 2023, to continue the level of investments. But we do expect already several revenues compensating those revenues in 2023. But the bulk of the return is more likely to come in the years there after.
Johan Albrecht: As support businesses will also continue to grow, that's just to be said, we will have expanding margins and realizing scale effect. It should go back to the higher margins as we utilize this year. Along with the continue evolving positively.
Peter Leys: Thank you, Johan, my comment only related to basically investments in the software cloud platform and not on a consolidated basis in general. Yes, thank you.
Bhavna Advani: I see. Then going to the revenue contribution. Can you speak at all about what you'd expect Link3D to bring in in 2022, both on sales and ultra-OpenX?
Peter Leys: Okay. We do not -- as in there's another material acquisition, we do not intend to continue to give separate numbers of Link3D. Also because we will be very quickly integrating the product. But roughly, we gave you the numbers of the revenue that Link3D generated in 2021 in terms of contribution by linking 3D to revenue in 2022, we do not expect significant increases there.
Bhavna Advani: Got it. Those were all my questions. Thank you. Congrats on the good quarter.
Peter Leys: We do expect an increase, I mean, it was a negative $4.6 million, we expect just to be sure to increase the quote-on-quote negative EBITDA coming from that product line.
Bhavna Advani: Got it thank you.
Peter Leys: Sure.
Operator: There are no further questions at this time. I would now like to turn the conference back to Mr. Peter Leys.
Peter Leys: Thank you, Operator, and thank you again all for joining us today. We also want to thank our employees around the globe for their dedication and contributions. On behalf of all members of the Materialise family, I would like to convey the following closing message to our colleagues and friends in Ukraine. Dear colleagues, we admire your courage. You are an inspiration to all of us. We stand behind each and every one of you. Please take good care of yourselves. Thank you.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.